Operator: Good morning and welcome to AtkinsRéalis' Fourth Quarter 2023 Results Conference Call. As a remainder, all participants are in a listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] I would now like to turn the conference over to Denis Jasmin, Vice President, Investor Relations. Please go ahead.
Denis Jasmin: Thank you, Aria. Good morning, everyone, and thank you for joining us today. For those dialing in, we invite you to view the slide presentation that we have posted in the Investors section of our website, which we will refer to during this call. Today's call is also webcast. With me today are Ian Edwards, Chief Executive Officer; and Jeff Bell, Chief Financial Officer. Before we begin, I would like to ask everyone to limit themselves to one or two questions to ensure that all analyses have an opportunity to participate. You are welcome to return to the queue for any follow-up questions. I would like to draw your attention to Slide 2. Comments made on today's call may contain forward-looking information. This information by its nature is subject to assumptions, risks and uncertainties, and as such, actual results may differ materially from the views expressed today. For further information on these assumptions, risks and uncertainties, please consult the company's relevant filings on SEDAR+. These documents are also available on our website.  Also, during the call, we may refer to certain non-IFRS financial measures. Reconciliations of these amounts to the corresponding IFRS financial measures are reflected in our earnings release and MD&A, which can be found on SEDAR+ and our website. And now, I'll pass the call over to Ian Edwards. Ian?
Ian Edwards: Thank you, Denis. Good morning, everyone, and thanks for joining us today. 2023 was an exceptional year at AtkinsRéalis and represented a pivoting point for the repositioning of our company. The new brand that we announced last year is synonymous with a dynamic company that is focused on building a strong culture and delivering excellence for our clients. We capped the year off with a robust Q4 results that reinforced the substantial demand for our engineering, project management and nuclear expertise across the globe. We continued to de-risk the company and significantly grew our revenues.  AtkinsRéalis Services saw revenue growth of 20% with an organic revenue growth of 18%. Segment adjusted EBIT to segment revenue ratio was approximately 9%, driven by the robust top-line performance across our businesses. Backlog at the end of the year was approximately $14 billion and represents another record high for the company. We also continued to successfully add high-quality talent in 2023, indicative of our core purpose and values. Our total headcount increased by 4,200, excluding the impact of the sale of the Scandinavian Engineering business. Turning to Slide 4, we're proud of our results last year, as we met or exceeded each of our most recent guidance targets. Of particular significance was our ability to generate positive cash flow during the second half of the year. This exceeded our expectations. Results from the third and fourth quarters offer an indication of the cash flow generation capabilities of our business in 2024 and beyond. From an employee perspective, we are highly focused on continuing to build the best-in-class culture at AtkinsRéalis. This is paying off, as a measure of our employment engagement grew 300 basis points to 87% at the end of 2023. We were also recognized in several publications, including top 50 employers in the UK for gender equality.  We released our 2022 Sustainability Report in the fall, which highlighted numerous accomplishments against our core purpose of providing a better future for the planet and its people. These include the elevation of our TCFD framework reporting and are announcing of the Global Parity Alliance, which is focused on advancing equality, diversity and inclusion. As we take a look back on 2023, our achievements would not be possible without the hard work and dedication of our employees. I am very proud and humbled to lead such an amazing group of talented professionals.  Finally, we are introducing our 2024 full year financial outlook, which Jeff will review in more detail shortly. We anticipate that 2024 will be another good year with continued revenue growth and strong profitability, but with stronger and more consistent positive cash flow generation. Turning to Slide 5, I want to focus on a few highlights from our fourth quarter. Our AtkinsRéalis Services business reached a quarterly record high with revenues of $2.2 billion. Organic revenue growth and segment adjusted EBIT increased by 25% and 29%, respectively. We achieved another record backlog this quarter, totaling $13.7 billion at the end of the year, a testament to the demand for our services and our ability to continue capturing high-quality wins in our core end markets and geographies. We generated strong net operating cash flow of $273 million in the fourth quarter, driven by continued growth across our AtkinsRéalis Services businesses and strong working capital management.  We ended the year with a 1.8x net debt-to-EBITDA, within our target range of 1.5x to 2x, and we delivered this result a year earlier than we forecasted when we launched our pivoting to growth strategy. We're a little more than two years since the introduction of this strategy and the results this past prove that this is working. It has enabled substantial growth across our businesses and positions us well for further long-term value creation. We have taken measured steps to becoming a premier, fully-integrated professional services and project management company. I'm extremely proud of our achievements this year and excited to prove and provide you with an update of our strategy at the Investor Day in June. On Slide 6, we highlight our backlog growth across AtkinsRéalis Services. Our 16% growth in the fourth quarter versus the fourth quarter of last year was driven by key wins across our core Engineering Services and Nuclear business. We continue to capture these key wins across many of the end markets in which we operate, including CANDU life extension nuclear work in Romania, airport runway safety work in the U.S., transportation work in the UK, social buildings in Canada and our recent appointment to plan the world's largest modern downtown in Riyadh, Saudi Arabia. These projects represent just a small component of the vast opportunity pipeline for AtkinsRéalis in the end markets in which we operate. Turning to Slide 7, our Engineering Services business continues to drive robust organic revenue growth, as we witnessed a 27% increase year-over-year in the fourth quarter. Our revenue generation was driven by the continuation of our ability to secure new wins across our geographic scope. Segment adjusted EBIT margin and segment adjusted EBITDA over net revenue margin were 9.6% and 16% respectively during the quarter. We continue to increase our backlog, which now stands at approximately $5.4 billion representing 16% increased growth versus our backlog as at December 31, 2022. On Slide 8, we provide further insights into the Engineering Services growth of each of our core geographies, the UK, the U.S. and Canada, as well as our other targeted geographies. We continue to see strong demand for our services, fueled by the need to replace aging infrastructure and provide clean, affordable and secure energy solutions. In the UK and Europe, we continue to capture key wins utilizing our end-to-end capabilities, supporting defense, growth through infrastructure and water facility development. Opportunities for contracts in the development of transportation, digital and technology projects, in addition to several design and project management projects remain robust.  Our foothold in the marketplace, especially our leading-edge in the UK, positions us well to capture bigger, higher revenue projects as our capabilities are recognized across the geography. In the U.S., we're seeing a high volume of work orders as major metropolitan areas seek out services for design and project management. The pipeline of transportation infrastructure projects in particular continues to look strong. There is a concerted drive on investing in water infrastructure and renewable energy through the IIJA and the IRA government spending programs, which also benefited us. Additionally, we view the minerals and metals market to have strong tailwinds and our position gives us a competitive advantage, sets us up to capture additional revenue from this industry. In Canada, we strengthened our backlog this quarter through higher quality wins and master service agreement renewables with long standing clients. To deliver our higher backlog, we have been focused on attracting and retaining strong talent. The culture that we are developing remains a valuable attractor to candidates, which has resulted in growing our employee base in Canada. Our current client base and pipeline of prospects remains overweight in the energy transition agenda and our strong history of delivering in the power and industrial end markets continues to help us win new mandates. I'd like to now move to Slide 9 and the results of our Nuclear business. We continue to demonstrate robust growth with an organic revenue increase of 22% last quarter, compared to the fourth quarter of 2022. Our Nuclear backlog is $1.9 billion, which represents a 98% growth versus our backlog as of December 31, 2022. This is driven by new build and refurbishment contract signed in the year and highlights the substantial long-term growth opportunities for our Nuclear business. Operating margin was 15% in the quarter at the top end of our 13% to 15% target. On Slide 10, we highlight achievements in each of the nuclear services that we provide. We made exceptional strides in generating new build contracts during 2023. Our capabilities continue to be recognized across the globe by public sector entities focused on a cleaner energy future. We made a major announcement to the world in November, when we introduced our latest reactor design, the 1,000 megawatt CANDU MONARK reactor. We did this at the World Nuclear Exhibition in Paris.  Large scale nuclear reactors are increasingly sought to decarbonize power grids, produce stable baseload power and increase energy security. MONARK is the evolution of the proven CANDU technology that provides affordable, reliable, carbon free power and has decades long global track record of consistent delivery and operational effectiveness. As a follow-up to our MONARK introduction, we announced last week an agreement with ACL to collaborate for the purposes of successfully deploying CANDU reactors in Canada and internationally.  As we look across our core markets, we see a continued increase in the pipeline of opportunities for large and small nuclear renewables, both domestically and internationally. For example, in January, UK government announced it will invest an additional $1.7 billion for early work to continue on the Sizewell C nuclear plant, another indication of their intent to invest in a more sustainable energy future. Current projects and the pipeline of opportunities on the life extension work remains really robust. In Ontario, we continue to actively be working on the CANDU life extensions at Darlington and Bruce Power. And in Europe, we are engaged in the engineering tooling and procurement for the CANDU retube and refurbishment program at Serban Voda in Romania. We continue to see strong pipeline of opportunities on CANDU reactor life extensions at home and abroad. On waste management and decommissioning, we're making further progress on projects in the UK and in the UAE. And in the U.S., we have a strong pipeline of prospects in conjunction with National Security Administration. The near-term and the long-term growth opportunity for AtkinsRéalis is significant in nuclear and the demand for our services continues to grow year-over-year. We are constantly harnessing our capabilities across the globe to be a trusted partner to public entities as they seek to achieve net zero goals. Now moving to Slide 11 and our O&M and Linxon businesses. Our O&M segment generated $130 million in revenue during the fourth quarter, relatively in line with our fourth quarter of 2022 as higher revenues from the commencement of a portion of the REM project were offset by completion of a contract in 2023. Segment adjusted EBIT margin was 9.5% and continues to be above the long range target of 5% to 7%. EBIT growth was driven by lower costs and increased efficiencies across several of our contracts.  Our Linxon segments saw a 29% year-over-year organic revenue growth in the fourth quarter and ended the full year revenues 1% higher than 2022. Backlog of $1.4 billion at the end of the quarter was 63% higher than the fourth quarter of last year. Results this quarter, particularly the backlog improvement, highlight the current and long-term growth potential of this business across many of its geographies. We've now completed our strategic review of Linxon and with our joint venture partner with Hitachi Energy.  We continue to be of the view that the market for the supply and installation of electrical substation equipment is attractive and growing, as countries look to decarbonize and electrify. Linxon is one of only a handful of global suppliers and is well-positioned to win work, as evidenced by the success in '22 in growing both the amount and quality of its backlog. However, Linxon's business model for fixed-priced installation projects no longer fits with the strategy of the go forward business of AtkinsRéalis. Therefore, we have agreed with our partner, Hitachi Energy that we will look to exit our shareholding in Linxon by exploring the sales with third-parties, one that can benefit from the value creation opportunity that the market Linxon's position represents. We are actively engaged in pursuing this exit with our partners support, but it's too early to comment on how long a successful exit will take. In the interim, we will continue to work to improve the operational delivery and resilience and capabilities of this business. Moving to Slide 12 and our LSTK projects and capital business. Commissioning and testing on our Ontario LSTK projects is continuing as planned. Our backlog decreased this year by approximately 50% to $365 million primarily representing the REM project, which continues to progress well. As we finalize the LSTK projects for our clients, we continue to pursue claims that we believe we are owed, and these discussions remain ongoing with our clients.  Turning to our capital business, fourth quarter EBIT increased by $10 million or 22%, mainly due to higher dividends received from the ownership of Highway 407.  As we have shown, in 2023, it was an inflection point for AtkinsRéalis. We see in 2024 another strong year of growth. We are also expecting strong operating cash flow and earnings delivery in this final year of our pivoting to growth strategy. And to have a more effective deployment of our global capabilities locally to our clients, we have implemented a new operational structure. Under the new structure, the formerly known segment Engineering Services and O&M will be merged and managed by four regions: Canada, United States and Latin America, United Kingdom and Ireland and Asia, Middle East and Australia. In addition, we have also created a permanent COO office, which will be led by Phil Hoare, former Head of Engineering Services. And I'm very excited to have Phil in this role to successfully optimize our operating model across the company. This will help us fully harness our capabilities and drive operational excellence on our path to margin expansion.  With that, I'll now turn it over to Jeff to discuss our financial results. 
Jeff Bell : Thank you, Ian, and good morning, everyone. Turning to Slide 15, total revenues for the quarter increased 20% to $2.3 billion compared to Q4 2022. AtkinsRéalis Services revenue totaled $2.2 billion, 24% higher than the same quarter in 2022 or 25% on an organic revenue growth basis. Total segment adjusted EBIT for the quarter was $232 million, significantly higher than Q4 2022 and was comprised of $201 million for AtkinsRéalis Services, $55 million for capital and negative $24 million for LSTK projects. AtkinsRéalis Services adjusted EBIT margin was 9.4%, nearly 40 basis points higher than Q4 2022 and in line with our target range of 8% to 10%.  Corporate SG&A expenses from PS&PM for the quarter increased to $35 million compared to $24 million mainly due to the company's rebranding expenses, as indicated on our last earnings call. We continue to expect that the remaining one-third of the total rebranding spend of $30 million will be incurred in the first half of 2024. As a result, we anticipate that the corporate SG&A expenses from PS&PM to be approximately $110 million for full year 2024. The IFRS net income from continuing operations this quarter was $90 million compared to a loss of $54 million in Q4 2022. This was composed of a net income from PS&PM of $46 million and a net income from capital of $44 million. Adjusted EPS from PS&PM for the quarter was $0.45 per diluted share compared to negative $0.31 in the fourth quarter of 2022. On Slide 16, you can see the selected financial metrics for the full year. Total revenues for the year increased by 14% to $8.6 billion compared to 2022. AtkinsRéalis Services revenue totaled $8 billion, 20% higher than the prior year or 18% on an organic revenue growth basis, above the top end of our most recent outlook. Total segment adjusted EBIT for the year increased by 85% to $766 million, which was comprised of $712 million for AtkinsRéalis Services, $113 million for capital and negative $59 million for LSTK projects. Restructuring and transformation costs for the year decreased to $49 million compared to $83 million in the prior year. We expect these costs to continue to decrease in 2024.  Net financial expenses for the year were $186 million, mainly due to higher interest rates. We anticipate these expenses to be lower in 2024, largely as a result of lower forecasted debt levels over the coming year. IFRS net income from continuing operations was significantly higher than in 2022 at $287 million. Adjusted net income from PS&PM was $274 million or $1.56 per diluted share. Our income tax rate on our adjusted PS&PM net income for 2023 was approximately 19%. We expect this rate to be higher in 2024, closer to the Canadian statutory income tax rate of 2020 of 26%, driven by a number of changes, including the expectation to be subject to the Pillar 2 global minimum tax rules from January 1, 2024. Backlog ended the year at $14.1 billion, 13% higher than at the end of 2022, with strong book-to-bill ratios in the Engineering Services, Nuclear and Linxon segments. If we now move on to Slide 17 and free cash flow, net cash generated from operating activities was strong in the quarter and totaled $273 million, resulting in positive cash generation for the second half of 2023 as expected. The cash flow generation in the quarter permitted us to decrease our debt by $311 million compared to the end of September 30, 2023. This was mainly driven by strong services EBITDA delivery and working capital management. AtkinsRéalis Services generated operating cash flows of $804 million in 2023. After cash taxes, interest, corporate items and capital, you can see that we generated $477 million of operating cash flow for the year and $66 million after cash used by LSTK projects. If you then add back the federal and provincial charges, remove the capital expenditures and the payment of lease liabilities, our free cash flow stood at negative $28 million for 2023. Additionally, we generated $179 million from proceeds of business and investment sales in our Engineering services and Capital segments, primarily from the sale of our Scandinavian business.  As we expect, continued revenue and EBITDA growth in 2024 from services businesses and significantly lower cash outflows from the LSTK projects, we anticipate that the net cash generated from operating activities for the company should be in excess of $400 million for the full year 2024. Note that we expect the cash generation to be more significantly weighted towards the second half of the year. We are also anticipating a higher level of CapEx for 2024 in the range of $140 million to $160 million, as we believe we will be investing in the CANDU MONARK nuclear reactor development. We believe this investment will lay the foundation for future nuclear revenue growth as the demand for low carbon, reliable power generation continues to be a high priority for many governments around the world.  With the expectation that the operating cash flow profile of the company will continue to improve in 2024, we remain committed to achieving investment grade financial metrics, but also see the ability in 2024 to begin deploying free cash flow for the benefit of our strategy and our shareholders as outlined in our pivoting to growth capital allocation framework. Moving then on to Slide 18 in the balance sheet, with our stable level of gross debt and a significantly increased level of EBITDA in 2023, our leverage ratio decreased to 1.8x in our targeted range of 1.5x to 2x, a year earlier than our original 2022 to 2024 guidance. Due to our continuing efforts on cash collection, our days sales outstanding for engineering services continue to be strong and stood at 52 days at the end of the quarter.  I'd like to now turn to my final slide, Slide 19 and summarize our 2024 outlook. Given our robust backlog and strong pipeline of opportunities, we are expecting an organic revenue growth rate between 8% to 10% for the Engineering Services region and between 12% and 15% for our Nuclear business compared to 2023. We are also expecting that the Engineering services region segment adjusted EBITDA to net revenue margins will be between 15% and 17%, while the Nuclear segment adjusted EBIT margin should remain in the range of 13% to 15%. And we do expect similar to 2023 that our cash flow and profitability will be more weighted towards the second half of the year.  With that, I'll now hand the presentation back to Ian. 
Ian Edwards : Thank you, Jeff. I'm extremely proud of our accomplishments in 2023. We had a great year with key wins across the businesses in all of our core geographies. Our record backlog highlights our long runway for growth and the significant demand for our services. As public entities drive change through clean, secure energy and replace aging infrastructure, they will continue to think of AtkinsRéalis as their trusted partner.  Most importantly, we have a strong, dedicated and growing workforce that helps us achieve our goals. I'm thankful every day for their loyalty and diligence, providing to the world expansive capabilities of AtkinsRéalis. And our new organizational structure will let us bring all these global capabilities locally to our clients, and our new brand highlights our fresh identity as a dynamic and transformed organization. We look forward to providing you with more details of the long-term outlook at our Investor Day in Toronto in June, and we hope that you can join us for that.  So with that, let's open up to questions. Thank you. 
Operator: [Operator Instructions] Our first question comes from Michael Doumet of Scotiabank. 
Michael Doumet: Truly in all of these results, so nicely done. I wanted to maybe start with the LSTK just to square a few items. Maybe just comment on the reasons why there's a little bit of a higher loss there this quarter?  The drivers behind the increase in the backlog? Lastly, whether we should think the losses there should wrap-up largely in 2024? 
Ian Edwards : Sure. There was a slightly higher loss in Q4 than the run rate that we've been having through the year. But nothing has really changed. I mean, what we said at the end of 2022 that the projects in Ontario were physically complete and that the remaining works on those two challenging projects were mainly in Engineering Services and administration type of work is the case.  And what we have found, as we call it, got to do the end of 2023 is that actually the opening of those two railways is moved back. And it's moved back for a multitude of regions, many of which are the choice of the customers. We don't decide when they go into operation, but we have to close everything out on the job, including all the paperwork, testing, commissioning. And that additional loss within Q4 is a forecast of where we now believe those projects will go into service and a forecast of all the costs that we'll need to complete those jobs.  We are now very focused and will be on recovering our loss. We've always said we believe that the issues that we faced through COVID and other kind of non-contractual obligations that we had to face as challenges are recoverable losses. We will need to continue to pursue those. If you look in the outlook, we've said that we'll incur an overhead cost running through '24 of approximately $10 million a quarter. That's how we see it. But largely speaking, what we said a year ago has played out as we expected. We still have the REM project, which has always progressed very well and almost all of the backlog now that you see is actually rent based and not on the Ontario projects.  Incidentally, I actually spent a day on each of those projects a couple of weeks ago and they're fantastic projects. I mean, all the stations are complete, the trains are running. I actually rode the train end-to-end on the Trillium project, and it's going to be a magnificent asset in Ottawa, as is the Eglinton project in Toronto. 
Michael Doumet: And then, maybe just if I move along to the additional disclosures that were provided on Slide 24. You can clearly see that the EBIT margins based on my math, more than doubled in the second half versus the first half in Canada. Just wondering, how much of the overall 100 basis points of margin improvement in the Engineering Services that you're guiding for in 2024 is Canada driven versus maybe some of the more broad operational excellence initiatives that you're undertaking? 
Ian Edwards: That's a good question and actually helps me explain how we think about this. So first of all, margin expansion is incredibly important to optimizing this business going forward. And we are very focused on doing just that. We are on an improvement journey. And our areas of improvement are actually quite specific geographically and business related. We've got many areas of this business that are operating at very, very good margin levels. I mean nuclear, for example, is industry best. But we have some areas of our business and Canada is one that you that you called out, that's on an improvement program. And that improvement program is very targeted around the specifics that we know we need to do differently, and those could be profitability, could be win rates, could be the clients, it could be improvement of our capability in a certain sector and we're focused on doing just that. I'll probably add another comment is that if we have business that we see cannot be put on an improvement program and get to where we want it to be, we will make decisions around that. And you saw that with the Scandinavian business, and you've now seen that with the Linxon business. So we are very focused on getting to the right place.
Operator: Our next question comes from Jacob Bout of CIBC.
Jacob Bout: I had a couple of questions here just on the organic revenue growth guidance you provided. So I guess, firstly, the Engineering Services, you're talking about 8% to 10% for '24. Fourth quarter was almost triple that. I guess, just trying to understand how much of this is being conservative. Is it just tougher comps in '24? Just maybe a bit more color there would be helpful. And then maybe comment a bit on what you expect the shaping looks like throughout the year, just the margin profile decreases as moving through the year?
Ian Edwards : And clearly, we've put the guidance out there at 8% to 10% for the Engineering Services business and a lot more bullish on the Nuclear business at 12% to 15%. We absolutely had an exceptional year in 2023, very pleased with that and very proud of it. But we've got to really consider whether that's sustainable long-term. And obviously, we look very closely at our markets, we look very closely at the backlog and the win rates. And I think the way that we see our markets that they are being fueled by energy transition, where we're seeing a big commitment towards increasing the electrical energy grid, particularly with clean energy and affordable energy. We're looking at an energy transition, decarbonizing of buildings and transport, which is also fueling that replacement of infrastructure in the U.S., funded by IIJA, and resilience work for weather events and flooding and disaster relief.  So those three things are really driving our markets. But as we see those things driving our markets, we're also seeing and we have seen in the UK, a bit of change of focus on government policies in terms of moving away perhaps from transport to an easy transition as they refocus their investment and their funds and their budgeting. So what we're doing here is really considering all of those aspects and looking at what we can absolutely deliver through those outlooks that we've put there. And I think we're comfortable that those are very deliverable ranges and obviously, we would be looking to perform at the highest end of those ranges.
Jacob Bout: And then just as far as the question on the shaping, as we move through the year. A little stronger first half than the second half here.
Jeff Bell: I think we would expect to see from a revenue perspective, good growth through the first half and have that continue into the second half. I think as Ian said, if we go a lot farther out in the year, you end up with less visibility into exactly the way projects will shape out. We factored that into our revenue perspective. And then from a profitability and cash flow perspective, we do see the shape of that similar to what we've seen in the last year or two, where it's weighted towards the second half of the year and we expect to see that in 2024 as well.
Jacob Bout: And then maybe just as a follow on here, just from a geographic mix perspective, how much variability are you expecting in '24, if we look at kind of U.K. Europe versus U.S. versus Canada?
Ian Edwards : I mean, actually there are different drivers in each of those markets, but we're actually seeing pretty strong growth potential in each, maybe for different reasons. I mean the UK, for example, strong water, strong defense, strong nuclear energy transition. The U.S., strong on resilience, strong on transportation still replacement of aging infrastructure. And in Canada, energy for sure, the building of the ecosystem around clean energy materials such as EV batteries and then transport. So it's slightly different in each geography, but we've got a very targeted approach to our strategies and our tactics to continue our growth in each. So no real difference in each one.
Operator: Our next question comes from Yuri Lynk of Canaccord Genuity. 
Yuri Lynk: Nice quarter. I'll ask another question on the guidance. Your 2022 to 2024 EBIT margin target for services is 8% to 10%. I'm just curious if your 2024 outlook implies a move outside of that range.
Jeff Bell: It's Jeff. Why don't I take that? I think as you saw from our guidance, we're beginning to move that guidance more towards EBITDA to net revenue. With respect to the Engineering Services regions, we have moved that from the original guidance you remember for Engineering Services, which is 14% to 16% up to 15% to 17%. And so we definitely see an opportunity, as Ian said, to continue to drive margin improvement. And indeed, if you look at some of the breakdown that we have on Slide 24, the previous caller referenced, you can see indeed that some of our regions are at or slightly above on an EBIT to gross revenue basis at or above the top end of that range. I think we'll continue to see that in 2024 with some of the regions performing at that level. Others, as Ian has said on an improvement plan, obviously, overall, we would expect the weighted average to continue to improve. 
Ian Edwards: I think what I would add to that is we know exactly at a very granular level where we need to improve. We we've done extensive work looking at customers, looking at geographies, looking at end markets to understand where we need to do something different to get to the place that we intend to be at. And what was necessary to drive this into the business was to create this Chief Operating Officer's office, such that we've got this horizontal lens and set of KPIs to drive those improvements. And they're in cost base, it's productivity, it's win rates, it's all sort of metrics at a fairly detailed level that Phil will spearhead horizontally. And obviously, the accountability vertically and the geographies still remains with our presidents. But we know what we need to do and we have a plan to do it, I think, is the message that I would give. 
Yuri Lynk: Now I was just asking the question on the consolidated EBIT margin, just to kind of simplify my life because you're adding in the O&M segment with Engineering Services or mixing net and gross revenues. But it does look like Engineering Services margin guidance has been taken up because correct me if I'm wrong, O&M is a more like a 10% EBITDA margin business that you're blending in with Engineering Services, right? And you're coming out with an even higher margin on the other end? 
Ian Edwards: And that's the way we see it as well. I mean, the O&M business has been performing well because we've been transforming that business into more an engineering led business rather than a facilities management business. And now it's almost wholly engineering led. So it really actually does belong in the Engineering Services business at the same sort of margin levels. So you're absolutely right.
Yuri Lynk: And last question, just your thoughts on the MONARK announcement. I think we can all agree that nuclear is an industry that moves very slowly. Certainly, one where playing catch up is proven to be quite difficult. And I think that's where you guys are right now with this design. I mean, it's new. There's competitors already in the market. How does the move from conception phase into actually getting this thing licensed with all its safety certifications and whatnot line up with the most likely buyers of this thing, which are in Ontario? 
Ian Edwards: Yes. So the great advantage that we have with the CANDU technology is that it's been invested in seven decades by the Canadian government. And as you know, we bought the rights to the product in 2012 and sole rights to the IP, although it's still owned by Canada. The MONARK is actually a bringing together of investments that were made before we got the rights to the product. So there was a gigawatt reactor. It had been through several stages of development and investment. We're bringing that back. We're adding to it the safety features that are necessary today. We're digitizing it and we're bringing it all together. Actually, the investment in terms of what we see to actually bring that to market and get it licensed is relatively small compared to starting from a blank piece of paper. It's almost like a no brainer to do this.  We've done extensive research on what we think is the most competitive scale of large nuclear reactor and we believe it's a gigawatt. I think further to that to talk about the domestic market, we know what our customers want in the domestic market, and we need to be ready to deploy it when they need it and that's what's driving this investment. But as you can see, it's not a big level of investment to get this thing developed on a year-by-year basis. Our timetable and it will depend somewhat on gaining orders domestically, our timetable is in the order of three or four years to get this through to licensing. But we would hope that we will be gaining orders and earning revenues even before it's licensed.
Yuri Lynk: Does that three to four years assumption require the regulator to view this as an evolutionary design? And what might happen if they view it as an all new design and would it not take long in that case?
Ian Edwards : No. The regulator is very much part of the ongoing process. You don't give out products and give it to the regulator and then they do the review. It's a parallel process. We work in parallel with them to get to the point of licensing. In fact, we're already doing that.
Operator: Our next question comes from Devin Dodge of BMO Capital Markets. 
Devin Dodge: Ian maybe just to follow-up on that last question. In your prepared remarks, you talked about that agreement with AECL. Can you just provide a bit of background on why the agreement was needed and the benefits that it should bring to AtkinsRéalis?
Ian Edwards: For sure. First of all, we own the rights of the IP and we needed to be absolutely sure that, those rights and the way that the agreement is drawn up remains in perpetuity to AtkinsRéalis and remains accessible and exclusive to ourselves. We wanted to just revisit the agreement just to -- with any agreement, there's always improvements you can make. We wanted to make sure we make those improvements, got full alignment with AECL on the strategy to take the CANDU technology forward before we started investing in the project and the MONARK. And we've got that. I mean, I see AECL is a real asset to develop the product and market the product globally and internationally and indeed the Canadian government, who ultimately owns the technology. So that was the intent there. As you saw, we got a good announcement out. We got support in that announcement from the federal government. We're all pretty much aligned to what we need to do here.
Devin Dodge: And then, last night we saw that the DOE awarded a large cleanup contract to one of your competitors. I think Atkins is on one of the expiring contracts. Look, we recognize that this type of work is done via consortium and it's recognized to be a paid off of JV income. But are you able to quantify how much earnings were derived from that expiring, I guess, the Hanford tank operations contract? And just was that -- what the wind down of that contract factored into the margin guidance for nuclear in '24?
Ian Edwards: Yes. So no, I mean, we're still very comfortable with our outlook, very comfortable with our growth in nuclear with or without that contract. Of course, we're disappointed. I mean, it's a good contract and we would have liked to win it. But we doubled our backlog remember in 2023 in our nuclear business, which we're really pleased and gives us that strong kind of confidence of 2024 outlook. And when you lose these jobs, these are like Tier 1 jobs, whether it's straight to the DOE. But when you lose the Tier 1 part of it, the secondary market opens up in supporting that Tier 1 contract. So we'll now focus on Tier 2 work, we call it, which is supporting actually DOE and the winner. So all-in-all not a material impact through the year but disappointing of course. 
Operator: Our next question comes from Chris Murray of ATB Capital Markets.
Chris Murray: Turning back to some thoughts around the free cash flow and a couple of moving parts on this one. First of all, you talked a little bit about the potential sale of Linxon and the exit of the JV. Just to make sure, Jeff, the $400 million that you're talking about in available cash flow, that doesn't anticipate any proceeds from the JV, does it? And then along those lines, just in terms of the timing of cash flow, can you talk a little bit about being able to deploy capital and what the timing would look like for an M&A?
Jeff Bell: Sure. So the answer to your first part of the question is no, there's no assumed proceeds from potential lease on sale or anything else related to that. So that would be in addition to the guidance that we've given. And I think our view is having reached the level of the balance sheet and leverage metrics that we have at the end of 2023, that's obviously, as I said, in our target range that we had originally forecast to not be there till the end of 2024. We see the natural cash flow generation of the business in 2024 keeping us below that around or below that 2.0 leverage ratio for us. And therefore, we think that allows us to open up the potential for small tuck-in or bolt in acquisitions or indeed returns to shareholders. So I think we see the opportunity to access that throughout 2024, when we see the right opportunities.
Chris Murray: And so along those lines, I guess, what I'm trying to also think about is, in terms of kind of beginning tuck-ins, can you talk a little bit about where the pipeline of potential opportunities are right now? I know in some cases you talked about it may not be the acquisition of somebody, it may actually just be setting up a new office. You talked about like there's a lot of white space in the U.S., for instance to work on. Can you just talk about where you think the opportunity set is? And for instance, if you did have additional capital, say, you could recycle out of something like Linxon. Does that mean that as opposed to waiting maybe during the second half, you could accelerate some of those opportunities maybe earlier into the year?
Ian Edwards: I mean very much part of the land and expand strategy in the U.S. and it was always a strategy that needed organic and inorganic growth. And to talk to your point on the M&A front, we are already focused on identifying possible targets for U.S. M&A. Now that's not tuck in acquisitions in the first instance. We are anticipating that we will be able to convert one or two of those this year. It's likely to be the second half of the year. The good thing about the U.S. market is it's very state-to-state centered. There are a range of size or companies that do the work that we do. And our intent is to establish a foothold in further states and then join all that up with our greater team, where we're operating at Tier 1 and land and expand.  I mean, ultimately, our goal is to be top five player in the U.S. with a coast-to-coast business that operates in the Engineering Services space. Once we got onto this cycle of M&A and build capability and ensure that we can integrate successfully, we will continue to do that at an increasing amount of scale. But we really do want to take a step-by-step approach to it, but we actually want to get on with it this year with the funds that are now forecasted to be available.
Chris Murray: And then my other question, just looking at the breakdown, I'm looking more at the detail in the MD&A. I think to an earlier question, Canada does really stick out in terms of the Engineering Services margins being substantially lower than the rest of the regions? I guess a couple of pieces of this. One, was there something kind of weird like kind of one time or a particular project that was giving you issues in Canada that maybe we didn't notice because of the way the reporting was happening? And then, I guess maybe just to elaborate a little more your comment about trying to fix things in the office of the COO. What exactly is it that you think that needs to happen in Canada to get that to what you would think would be a peer type margin or even a margin profile somewhere similar to the rest of the business?
Ian Edwards : There's a number of things. I wouldn't be able to put my finger on one specific big sort of item that needed fixing in Canada. There's a number of things. I'll share a couple of them. Cost base is always important and we've reorganized the business. You can see now that we've got a dedicated President that looks after all the business in Canada under Stephanie Vaillancourt. The type of work and the customers, we were doing a lot of really small jobs at low profitability, and moving from that to focus on larger opportunities that we see in the market, it takes a bit of time because you're going to burn off the backlog that you already had, which is low profitable work, and replace it with better quality backlog. We're very much in progress with that and the plan it's going very, very well on that. Productivity, I mean, getting the business up to the same productivity levels as our other business, making sure that the staff and the people got the right capabilities and support. So no one thing, but we know we're going to get where we need to. 
Operator: Our next question comes from Michael Tupholme of TD Securities.
Michael Tupholme: Just maybe to pick up on that last question about the margin improvement expectation, Ian, you talked about productivity. Can you talk about how you're positioned from a headcount perspective to work through the very significant backlog you have? Are you still in hiring mode here? Or do you feel like you've got, for the most part, got the talent you need and really there is an opportunity to leverage productivity gains? 
Ian Edwards: I mean talent and our people are everything. We are a people business and we cannot drive organic growth without being able to attract the top talent. We've focused on our culture and our employee value proposition going back four, five years ago. And we've developed, I think a world class employee experience. And things like our purpose and our values and our approach to ED&I are real differentiators for younger people. And we are able to bring in the talent that we need to drive the business. I mean bringing in or achieving a headcount growth of 4,200 people in 2023 is a combination of lowering our turnover rate, which is constantly reducing and having that value proposition for employees and building the culture where they want to join us. So we will continue to grow our headcount organically and it's absolutely essential to growing the company.  Luckily, the way that we do this is a combination of early careers people, 2,000 people from graduates and universities joined us in 2023. We can put them to work very quickly and profitable, and they produce revenues for us. And we add to that capable and experienced people that also generate revenues for us very quickly. So I think it's an important part of our whole story. 
Jeff Bell: I think the other thing I'd add to that, Ian, is that we monitor utilization and productivity and match the people that we're bringing in very much by region and subregion and customer end markets so that the growth that as you say, we've been very successful that we needed to deliver that backlog is very appropriate in each of the different regions and geographies. So that we're not building up people in areas where we have less work but we've got the focus where we've got the most work to be able to do. 
Michael Tupholme: Second question, just circling back on the LSTK projects area. I think you asked this earlier, but I'm not sure if I caught the answer. The increase in backlog that you saw sequentially, is that also tied to your explanation about the delays in some of these projects? If you can just help to clarify what drove that exactly? I guess the other question or the follow on would be how do you see that backlog evolving over the course of 2024, as we move through the year?
Jeff Bell: It's Jeff, why don't I take that one. We did see a bit of an increase in backlog. And that really comes, as Ian says from with our clients reforecasting out the completions, particularly of the two Ontario projects here in 2024 and REM. As a part of that there's simply a view that there's some more work to do than there would have been at the end of the previous quarter. Not a material amount of work. As Ian said, it doesn't extend the time line in any material way. But that's a big part of what drove the slight increase in backlog at the end of the year. But it is largely ramped because, as I think, that's going down to final testing and commissioning documentation, training drivers. That has a relatively small component of the overall total. I think there was a second part of that question, Michael. Did I answer the second part?
Michael Tupholme: Not exactly. The second part was just related to how we think about that progressing as you move through the year.
Jeff Bell: I think in terms of we would look to have that backlog largely done by the end of the year. The anticipation is that both the Trillium and Eglinton would be handing those over to the clients this year. And I think as REM has itself has said, they're expecting to be largely construction complete by the end of this year as well.
Michael Tupholme: Does that then mean that as far as the $10 million per quarter loss that you talked about earlier over the course of 2024, as we look to 2025, should we essentially assume that loss is no longer occurring at all in 2019?
Jeff Bell: I think as I said in the last answer that a lot of that is overhead cost to pursue recoveries in claims and alike, as well as supporting the ongoing jobs. That will reduce. I wouldn't say, it'll be zero in '25, but it will be less because we'll be down to just really trying to recover the loss. I would hope still that we can negotiate this at some point and see that coming in. 
Operator: Our next question comes from Maxim Sytchev of National Bank Financial. 
Maxim Sytchev: Most questions have been asked and just a couple of cleanups. Ian, if you don't mind maybe talking a little bit about your Middle East business now that it crested $1 billion in gross revenue. Just wondering how you're thinking about sort of the risk profile for that part of the business? Maybe any color there would be helpful. 
Ian Edwards: For sure. The Middle East is booming, frankly. Demand for services from companies like ours both in the Kingdom of Saudi Arabia expansion, but now a reinvestment in the United Arab Emirates is really, really fueling the market. So what we have done is really focused on projects that we see have a sustainable future. So those would be the iconic, very heavily committed to projects such as Neom and the downtown of Riyadh and the sort of greening and redevelopment of Riyadh City.  So we have won some very good contracts in those type of work. But we're also now rather than continuing to kind of focus on one area as we're seeing good opportunities come out of the Emirates now, we're kind of looking at the Emirates as well. And we're up to over 10% of our business now. It's in the Middle East, but that's about where we want to be around about the 10%. We don't want to kind of outgrow the Middle East compared to the rest. We're keeping at a level which is positive and supporting our customers there, but we will sort of keep that kind of at a proportionate level. 
Maxim Sytchev: And just two quick cleanups, if I may. In terms of kind of like free cash flow conversion of consolidated net income to free cash flow, like 80% to 90%, I mean, that's still kind of the game plan, right? 
Jeff Bell: Yes. That's correct.
Maxim Sytchev: And can you be a bit more precise in terms of timing or how should we think about this? 
Jeff Bell: Yes. I mean, I think as I said, Max, I think in terms of timing that's our guidance for the full year. As I said in my remarks, it will be weighted to the second half of the year. So we'd expect to see less in the first half, more in the second half. But clearly, year-on-year, a real step forward in both halves, frankly. 
Maxim Sytchev: And then one last thing, in terms of the 407 and thinking about potential sort of congestion payments as pricing has gone up, can you maybe provide any color in terms of how we should be thinking about this, if at all? 
Ian Edwards : Yes. I think my comment to that, Max, I think broadly, I'd refer you to what the 407 itself is saying. Clearly, their view is that while there may be some congested payments, the value that comes and the need to reflect the fact that there hadn't been a price rise in four plus years was clearly what drove their change in pricing that was implemented at the beginning of February. So I'm not sure I'd have anything more to add to that at this point. 
Maxim Sytchev: But I mean like net obviously, there should be a positive impact from kind of like an EBITDA perspective? 
Ian Edwards : Yes.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Denis Jasmin for any closing remarks. 
Denis Jasmin : Great. Thank you very much, everybody. If you have any further questions, please don't hesitate to contact me directly. Thank you very much, and have a beautiful day and weekend. Thank you. Bye. 
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.